Operator: Good morning ladies and gentlemen. Welcome to our Full Year 2024 Result Conference Call of ProSiebenSat 1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtländer. Please go ahead, sir.
Dirk Voigtländer: Thank you, operator, and good morning, ladies and gentlemen. Welcome to ProSiebenSat 1’s investor and analyst conference call on the occasion of the full year 2024 results published today. This conference call will be hosted by Bert Habets, CEO of ProSiebenSat 1 and Martin Mildner, CFO of the group. Bert will begin by discussing key financial highlights of the year 2024. Martin will then give you a deeper insight into the financial performance of the group and present our dividend proposal for the past financial year. Bert will then present operational highlights and give an update on the company's strategy as well as our new outlook for 2025. In the subsequent Q&A session, you will have the opportunity to ask questions about this as well as the ad hoc announcement we have published yesterday. I would now like to hand over to Bert.
Bert Habets: Welcome everyone and thanks for joining our full year's results conference call. Today, we want to look back on the past year with you. We also want to share our expectations for 2025 and beyond and how we plan to strengthen our business for the upcoming years. Let me first give you a quick overview of our financial development in 2024. Martin will then go into details afterwards. Overall, we are satisfied with the performance of ProSiebenSat in 2024. Although the TV advertising market in 2024 was weak, especially in Q4 due to a challenging economic environment, ProSiebenSat still managed to achieve further revenue growth of 2% to 3.918 billion Euros. In the Entertainment segment, our Joyn AVOD revenues increased by 36% in the DACH region. Together with other growth businesses in the Entertainment segment, this helped to limit the decline in the segment revenues to minus 1%. The commerce and venture segment had a strong year 2024. It exceeded 1 billion Euros in revenues for the first time with an adjusted EBITDA of 106 million Euros almost doubling compared to 2023. It resulted in almost 4 percentage points margin expansion. The adjusted EBITDA of the group for the full year 2024 was 557 million Euros and is within our target range. It fell by 21 million Euros in 2024, mainly due to the decline in the advertising revenues in Germany, Austria and Switzerland and due to an increase in programming costs. For 2025, we expect further revenue growth in a still demanding environment. We target an increase in Group revenues to 4 billion Euros with a plus minus of 150 million and an adjusted EBITDA of 550 million Euros with a plus minus of 50 million. Let me now hand over to Martin for further details on our financials.
Martin Mildner: Thank you, Bert. A warm welcome also from my side. I will continue with a review of the group financial key performance indicators for the fiscal year 2024. 2024 was another year highly influenced by macroeconomic challenges. This is most evident in the TV advertising business as the willingness of our advertising clients to invest in marketing spend is closely correlated with private consumption. Both factors were characterized by restraint in view of macroeconomic environment and political uncertainty at the end of the year. In addition, revenues in the Dating & Video segment declined in both a difficult economic and a highly competitive environment. Despite these headwinds, we also delivered growth in large parts of our portfolio. Moreover, we were also able to achieve the targets that we last communicated in the third quarter 2024. ProSiebenSat recorded group revenues of 3.920 billion Euros in fiscal year 2024. This represents a revenue increase of 2% compared to the previous year. In the fourth quarter, however, we experienced a slight decline in Group revenues of 2%, reflecting the still burden macro environment. On a currency and portfolio adjusted basis, Group revenues increased by 2% within the full year 2024 and declined by 1% in the fourth quarter of 2024. In terms of advertising revenues, the group recorded a decline of 2% in 2024. Despite a good start in 2024, the second half of the year and in particular he fourth quarter were not as positive as we had originally hoped and as it was forecasted by economic institutes. As a result, we are unfortunately looking back on a weak fourth quarter in which advertising revenues at Group level were down by 9% and this was leading to an offset of the increase that we saw in the first nine months of the year. Adjusted EBITDA for the full year 2024 was 557 million Euros, down 4% year-on-year, but in line with the target range. In Q4 2024, adjusted EBITDA decreased by 13% year-on-year. This reflects our expectations regarding the impact of the weak year end advertising business and the scheduled increase in program costs. It also mirrors the decline in revenues in the Dating & Video segment, which however, was more than offset by a strong increase not only in revenues but also in the adjusted EBITDA of the segment Commerce & Ventures. Adjusted net income, that means our net income adjusted for exceptional items, amounted to 229 million Euros, almost at the same level as last year. Please note that in the fourth quarter of 2024 we recognized an impairment on goodwill within the Dating & Video segment totaling 386 million Euros. In accordance with our accounting rules, this non-cash accounting effect was adjusted in the adjusted net income. The appendix to this presentation also contains the complete P&L for the 2024 financial year, which illustrates the valuation effects and the impact on the consolidated net result. Later on in this presentation, Bert will give you some more insights about the measures we have initiated to bring ProSiebenSat [Phonetic] Group back to a positive revenue and earnings trend. So let's now turn to page seven and take a closer look at our Entertainment business. In the year 2024, the Entertainment segment revenues decreased by 1% to 2.54 billion Euros. This is, in our view, a solid performance given the weak market environment, general consumer restraint and the impact of the major sports events in the summer of last year. However, the fourth quarter, which is important for us, developed weaker than initially expected with a decline of 8%. Advertising revenues in the DACH region declined by 4% in 2024 and by 10% in Q4. Almost the entire decline of 69 million Euros recorded in the 2024 fiscal year resulted from the fourth quarter alone, which was characterized by higher uncertainty than the previous quarters. This being said, TV advertising revenues fell by 5% in 2024 and by 12% in the fourth quarter. However, the decline was partially offset by our Digital & Smart revenues which increased by 5% in 2024 and were stable in Q4. I also like to highlight the financial performance of our streaming platform Joyn, whose AVOD revenues in the DACH region increased by 36% in 2024. In Germany, the increase was 27%. This development confirms the focus on Joyn as an advertising supported streaming model and the expansion of our digital entertainment portfolio. Bert will go into more detail about the development of Joyn later. The high margin distribution business increased its revenues by 12% to 208 million Euros in 2024 and therefore had a record year. In the fourth quarter, revenues were up by 16% year-on-year. In addition to corporation agreements, for example with Deutsche Telekom and Sky, higher HD usage contributed to the growth. This development shows that the distribution business benefits significantly from our attractive program content, which in turn offers new opportunities to further invest in new content. Adjusted EBITDA in the Entertainment segment declined by 12% in 2024 and by 28% in the fourth quarter. This reflects both the decline in high margin advertising revenues and our higher program expenses, especially to support the growth of Joyn. Please now turn to page number eight where we are now coming to the performance of our segment Commerce & Ventures. Please let me first state that our Commerce & Ventures segment exceeded the revenue mark of 1 billion Euros for the first time last year. Moreover, the segment increased revenues by 19% for both the full year and the fourth quarter. Organic growth even reached 21% in both periods. While the advertising business, which means our media for equity and media for revenue business with seven ventures and seven growth performed very well last year with an increase in revenues of 9 million Euros, the fourth quarter suffered from the general consumer restraints and declined by 6 million Euros. The Digital Platform & Commerce business showed a very good performance. The business recorded double digit year-on-year revenue growth in both full year 2024 and Q4. The biggest revenue driver was again flaconi, which stood out despite the difficult economic environment with revenue growth of 32% in full year 2024 and 32% also in the fourth quarter. However, revenue growth at Verivox and Jochen Schweizer mydays was also very satisfactory. Adjusted EBITDA of the Commerce & Ventures segment was almost doubled last year, growing at a rate of 81%. Q4 was by no means lagging behind with adjusted EBITDA growth of 20 million Euros or also very strong 45%. The adjusted EBITDA margin increase by almost 4 percentage points was a result of the segment revenue development as well as strong operating leverage across the entire Commerce & Ventures portfolio, but particularly in the consumer advice and Beauty & Lifestyle verticals. Let's now look at the performance of Dating & Video on page number nine. The Dating & Video segment saw a 13% decline in revenues for the year, driven by a softer performance of our brands eharmony, Parship, Elite Partner and Lovoo, as well as the planned discontinuation of the B2B activities in the Video segment. Q4 revenues declined by 16%. In the Dating business, the matchmaking brands faced increased competition in the US and consumer restraint in Europe in a demanding market environment in 2024. However, Lovoo managed to maintain its revenue level in Q4 despite a decline in video advertising revenues. While the video business suffered from the planned discontinuation of B2B activities, the focus of our video business on owned-and-operated apps has already started to show results in 2024. Virtual goods revenues of these platforms grow by 6% year-on-year. The adjusted EBITDA of the Dating & Video segment declined by 19% in full year 2024. However, looking at Q4 profitability, we see that our measures are paying off. In Q4 of the last year, the adjusted EBITDA margin reached around 19%, its highest level since Q4 2022. This was driven by cost discipline in the Dating business and an optimized streamer and platform revenue distribution in the Video business. Let me continue now with comments on the financial leverage and net debt development on page number 10. At the end of the year, the group's net financial Debt amounted to 1.512 billion Euros, an improvement of 34 million Euros compared to the end of 2023. This reflects the development of our positive cash flows at the end of the year. Against this backdrop, the year-end financial leverage ratio of 2.7 times was within the expected target range of 2.5 times to 3 times for 2024 and even under consideration of the decline in adjusted EBITDA. What you also can see very clearly on the left chart is that we have continued to reduce our net financial debt since 2019 in total by more than 700 million Euros despite dividend payments of more than 300 million Euros. At the same time, we have been able to keep the financial leverage stable despite the decline in adjusted EBITDA. At this point, I would also like to mention why net debt at the last two years had not fallen as much as in the previous years. This is partly due to lower profitability as a result of the general economic situation, but also due to a one-off effect that have had a negative impact on cash flow in 2023 and 2024. In 2024, this included incremental costs for the construction of our new campus, one-off costs related to efficiency measures, cash outflows for onerous program contracts and the cost of the Jochen Schweizer and mydays investigation proceedings. Overall, we are talking about total cost of around 200 million Euros in 2023 and 2024 combined. On the right side of the chart on page 10 you can see the debt maturity profile of ProSiebenSat 1. As it shows, we use various debt financing instruments for the purpose of the group debt financing. This said, we continuously monitor our debt financing and work on an optimization of both volumes and maturities. Let me now turn to the dividend proposal for the forthcoming annual general meeting at the end of May. As you already know, we're taking into account not only the general economic environment and adjusted net income as a reference value for the dividend payout, but also an appropriate level of financial leverage. In addition, we also take into account the need for investments in the operating business, where the current focus is on driving the digital transformation of the Entertainment business. Against this backdrop, we, the Executive Board, together with the Supervisory Board, decided to propose to the Annual General Meeting on 28 May to pay again a dividend of $0.05 per share. Furthermore, and in deviation from our general dividend policy, this equates to a payout ratio of 5%. This proposal takes into account the fact that our financial leverage at the end of 2025 is still expected to be above the upper end of the targeted range of 1.5 times to 2.5 times. So with this I would like to end my part of the presentation and hand back to Bert.
Bert Habets: Thank you, Martin. Let us now continue with an update on the operations. 2024 was a challenging year for the whole market in Germany, but especially for the TV industry and thus also for us. Let's start with an overview on page 13 to provide some context. With a look at the cumulative growth of the real GDPs in Spain, Italy, France and the UK for the last five years, it becomes clear that our home market Germany is unfortunately notably lagging behind. In the past five years real GDP in Germany has grown by only 0.3% while the compared European countries have grown quite strongly. There has been a nominal increase in Germany, but inflation adjusted, the economy has not grown. Direct and indirect effects of the war in Ukraine and increased political uncertainty have had a significant negative impact on consumer confidence in Germany since 2022. The related high energy prices have especially hit the big automotive sector in Germany. All of this has led to significantly below average GDP growth in Germany since 2019 compared to the other Western European countries and Eurozone. The TV advertising market in Germany, though, was not only not to grow, but lost. So why is the TV advertising market negatively affected? The generally low willingness to invest and the structural challenges in individual sectors have caused a reduced advertising expenditure in traditional media. Compared to 2021 and 2019, there was a decline of 20% in 2024. Looking at the development of the TV advertising market on the chart at the bottom, it is clear that the German TV advertising market was much more affected by macroeconomic challenges than the other European countries. Compared to the Western European average, which includes the larger TV ad markets, like UK, France, Italy and Spain, and compared to the pre-pandemic level in 2019, the German TV net advertising market shows a gap by around 15 percentage points. This takes into account that according to our own estimates, The German linear TV net advertising market declined by around 4% year-on-year in 2024. Let's have a closer look at the different advertising industries. As usual, this is the Nielsen Media Germany Overview, which shows the gross ad spent of the different advertising industries. Please bear in mind that the gross numbers refer to the total amount spent on advertising without discounts, without agency commissions and other reductions. Therefore, the amounts are always higher than the net amounts. In the first nine months we saw a good market development, but we experienced a strong decline in Q4. The strong difference between Q4 on the left and the full year on the right show that the most advertising industries decreased their budget in Q4, which is usually strong due to the Christmas business. However, last year Q4 was especially challenging for the TV advertising market. The election in the US along with anticipated new elections in Germany caused a lot of uncertainty amongst consumers. Going forward, Germany has a lot of potential for catching up. After these years of recession, we expect a slight recovery and GDP growth for Germany in 2025. At the midpoint of our target range for 2025, we continue to expect a slight decline in TV advertising revenues, which however will be more than compensated by the Digital & Smart advertising revenues and Joyn in particular. Regarding the audience share, ProSiebenSat 1 had a solid start in 2024. As mentioned earlier, our performance in the second and third quarter was negatively impacted by the large sports events. Although Q4 was heavily influenced by the political events and coverage by the public broadcasters, our audience share was back on track and grew strongly due to our dedicated content investments. As a result, in the fourth quarter we closed the gap with our main competitor RTL’s AdAlliance in the target group 20 to 59. Looking at the prime time, we even succeeded RTL in Q4 by almost 1 percentage point. We expect this positive trend to continue in 2025 as we are committed to our local content strategy. Content is king and that's why we invested substantially more in our content last year. This paid off both on TV and on our Superstreamer Joyn. We developed and aired several successful formats which performed above slot average and which were also a success on Joyn with solid video views. We actively managed our grid and increased our program spendings which is increasingly paying off both in linear and non-linear. We have existing formats that work very well on TV and on Joyn, like Germany's next top model. We have successful daily soaps on our linear channels that generate stable daily watch time on Joyn, like Die Landarztpraxis and Die Schwarzwaldklinik. These soaps are an immense driver on Joyn and we have formats that have a particular Joyn focus, for instance reality shows like Big Brother or creator content like the Race. I can't stress this enough. We want to keep this variety of formats in the future. The wide range of content on Joyn helps us to attract different target groups and thus more users. Let's continue with the center of our digital activities, our streaming platform Joyn. 2024 was a very successful year for Joyn and the whole German speaking region. We wrapped up the year with a special highlight. Q4 was the most successful quarter in Joyn’s history. In 2024 we launched Joyn in Switzerland. Together with Joyn Germany and Joyn Austria, we have reached almost 8 million video viewers per month in Q4. That is an increase of 25% compared to the previous year. The video view time has increased by 40% compared to the previous year and has hit 12.3 billion minutes in Q4. Joyn AVOD revenues now include the revenues of all three German speaking countries and it grew by 34% year-on-year in the fourth quarter. Our program investments didn't just help to attract more users, but also to increase the engagement of our existing users. The watch time per user in Germany increased by 10% in Q4 compared to the previous year. This was due to a strong lineup of highlight formats like [Indiscernible]. We have already reached a lot in 2024 and we still want more. The market is way bigger than 8 million viewers. In Germany, Austria and Switzerland we have around 80 million TV viewers that makes 72 million more for potential Joyn users. How can we attract those potential users to Joyn? We want to reach many different target groups. For that we need the right content on Joyn to attract all different kind of users. Therefore, we cooperate with a lot of different partners to provide the best-in-class content on Joyn. To show you some examples, in cooperation with Prime Video, we are bringing back the iconic German series Der letzte Bulle with the original actor Henning Baum. One of our biggest growth drivers in Q4 was NAVY CIS. Thanks to a licensing partnership with Paramount, the entire franchise is now available on Joyn. The biggest content deal was with ARD Plus and ZDF Studios. We secured more than 4,000 hours of originally paid TV content that we now can offer for free on Joyn. Joyn users benefit from these partnerships as they can find all their favorite content in one place. Our partners benefit from these deals as their content gets to be watched by many more people and we benefit as the new content increases our bookable advertising inventory. Corporations don't stop at content. Of course, we also need to make Joyn as accessible as possible for existing and future audiences. For that reason, we need to work together with the big distributors. With steady and strong growth, we reached 208 million Euros in distribution revenues in 2024. This is an extremely important part of our profitability. Just to remind you that this is a largely subscription based business with much higher predictability than the advertising business and with a very high profitability. It is therefore an important and growing revenue stream which in return allows us to strengthen our content offering. Having said this, last year we successfully launched Joyn on MagentaTV [Phonetic] and we made a deal with Sky. Now Joyn is pre-installed on all Sky setup boxes. With these two deals, we now reach even more potential users and make it as easy as possible for them to use Joyn. Let us have a look at the operational side of our Commerce & Ventures business. 2024 was a big success. The whole segment did an outstanding performance in 2024. As Martin already stated, the portfolio revenues exceeded 1 billion Euros for the first time. After a very strong 2021 and a little growth setback in 2022, 2023 was again a record year and in 2024 the growth even accelerated. The revenues in each of our portfolio segments grew up to a very strong plus 27% in the Beauty & Lifestyle segment. But what's important is that all our assets have contributed to this, not just the outstanding large ones like Verivox and flaconi. Commerce & Ventures was an important part of our performance in 2024. The margins and margins improvement speak for themselves. This shows that our media investment model has been very successful in the past, which is why we want to continue this approach with our seven Ventures business, but with a focus on minority shareholdings only. You all know that our strategic focus is now on the Entertainment business. We therefore want to sell portfolio assets that are not part of our core business at the right time and at an appropriate price. As you know, this currently applies above all to the sale of Verivox and flaconi whose sales processes are still ongoing. As it has been exactly two years since we started executing our new strategy, I want to give you an overview on where we stand and what we plan to focus on in the future. To remain successful, the following points have to be our main priorities. It will become crucial for us to optimize for the TV decline that we will further experience. We will keep on developing Joyn into a Superstreamer with a huge variety of content. We want to build a leading independent studio network focused on the German speaking region. We need a tech and data foundation to bring linear and digital together. And lastly, we keep our focus on cost efficiency and reduce our organizational complexity. Let's have a closer look at the details of these points. The market that we operate in is changing, no question. However, all in all it is still a growing market for us. Linear TV remains a key mass medium. Although its reach is declining, this is largely offset by the price increases and advanced TV products like CFlight. On the other hand, the online video market is strongly growing. Local players like us are improving their offerings, international players like Netflix and Amazon are entering the market and the AVOD model is very attractive to agencies and advertisers. Taking both together, you will see that the total addressable video advertising market is a growth market for us. We have a strong market position in the Linear TV. This is supported by long standing shows and local content and our streaming platform Joyn is also poised to capture a significant share of the advertising market. This is due to the growing engagement content partnerships and distribution deals. With a strong presence in both linear and online video, we are set to gain a significant market share. As on the previous chart stated, we expect the Linear TV market to decline. In the next two years, we still expect our total video view time to continue to decline in the mid-single digit range. However, for the year 2026 and beyond, we expect a stabilization of the trend which will be driven by significantly higher consumption of our Superstreamer Joyn. Even under consideration of this slightly negative viewing trend, we are optimistic that our Entertainment segment will grow with a CAGR of 2% to 4% in the coming five years. Our underlying assumptions include a slight decline in the TV core advertising business which benefits from new products like Advanced TV. However, the growth of Entertainment segment will primarily come from our Digital & Smart advertising revenues, the distribution business, and the content business. In terms of monetization, I want to mention that content on Joyn can be monetized 1.9 times higher than on traditional Linear TV. This means that with less advertising bookings we can still increase our revenues. This slide shows in a nutshell what our business model in the Entertainment business is. It is built on our significant content investments of more than 1 billion Euros, which not only leads to a strong TV market position but also drives the engagement of our existing Joyn user base and with an increasing number of streaming formats drives the public awareness of Joyn as the leading freely available Superstreamer. Please note that so far less than 15% of the population in the DACH region use Joyn which offers significant upside potential in terms of future growth. The strengthened TV market position as well as a growing Joyn user base offers a growing amount of quality video advertising inventory, which, as I described on the previous slide, can be monetized even better than traditional Linear TV advertising inventory. As a result, our flexibility to invest more money into premium, local and exclusive content further increases which will ultimately drive the content consumption of our outlets altogether. Please be assured that our content investments will always be made under consideration of the market environment and the opportunities to capitalize on such investments, and that we of course aim to continuing the increase in operating profits in absolute terms. This will also enable us to further strengthen the group's balance sheet and to let our shareholders participate in forms of cash returns. Let us now take a closer look at the targeted development of our Superstreamer Joyn on the next page. Joyn is at the heart of our strategy. It has already grown very strongly in 2024 and we expect this positive development to continue. We expect Joyn to be the main driver of revenue growth. Our Joyn revenues are a composition of AVOD and SVOD. We have a clear focus on AVOD revenues. This is the most important part of our strategy and what differentiates us from our competitors. We need to strengthen that core proposition. We offer all entertainment and information in one place for free. Advertising is the DNA of ProSiebenSat 1, which allows us to adequately monetize the growing Joyn advertising inventory where we are leveraging a large advertising customer base and state-of-the-art advertising technology. For that, we need the best content mix of sports, news, reality and on. We want to further enrich the product experience and push our marketing support. And as previously mentioned, we want to build partnerships. Joyn, as a revenue stream, is also not fully utilized yet. We have a lot of ideas on how to unlock even more revenue potential; also in the SVOD section. Let's now have a look at our most important Joyn KPIs. Two years ago in March 23rd I said that we would double our Joyn KPIs. People were very skeptical of this because it was very ambitious. Now two years later we can see that it has become a very realistic goal. When we have a look at the monthly video view users on Joyn, you can see that from 2022 to 2024 we already nearly doubled our monthly video viewers. This makes us very confident that we will be able to achieve the 2027 targets outlined on the slide as well. A comparable positive development can be observed in terms of Joyn video view time, which is the foundation of the targeted increase of our AVOD revenues. Let's have a look at another important strategic pillar. With Seven.One Studios, we have a strong studio network that produces content for us as well as other platforms. To name a few, for our own channels we produce popular shows like Germany’s Next Topmodel, The Taste or Reality Backpackers, and we also produce well known shows, the Discounter [Phonetic] for Prime Video and the first German season of Love is Blind for Netflix. We are among the top networks in the German speaking region in terms of revenues. We concentrate on our own productions that internalize the margin. In the future, we want to create a leading independent studio network in DACH. With M&A and talent deals, we want to grow in Europe, especially in the DACH region and we expect a CAGR in studio revenues until 2027 of about 8%. Please note that the targeted revenues increase shown on this slide includes a smaller part of M&A and talent deals. Another important part of our strategy is tech and data. ProSiebenSat 1 is not only an entertainment company. It's fair to say that we are also truly a tech company. We are working on cutting edge tech, data and AI topics. Especially in the area of broadcasting and streaming, we are optimizing our products and developing new workflows with a dedicated tech and data strategy. At the content level, this means moving towards a digital and cloud first approach. For example, we are working with Amazon Web Services to move all our content to the cloud. For Joyn, we continue to develop better features such as our recommendation feature, which is already powered by AI. When it comes to Ad Tech, we are also cooperating with different partners whenever it makes sense, for instance RGL or Media for Europe, and together we are working on Ad Tech solutions that both sides can benefit from. Of course, AI is also a big topic for us. AI not only offers further opportunities to improve the efficiency of internal processes and reduce costs, but also provides new impetus for many of the group's businesses. Let me now come to another important measure that we are working on. As we continue the transformation of our Entertainment business with an even stronger focus on our Superstreamer Joyn, we are adjusting our setup in the Entertainment business to become an agile and cost efficient organization. In this context, we have identified a gross saving potential of 70 million Euros relative to an addressable cost base of 450 million Euros in the Entertainment segment and holding combined. Given the lackluster performance of the Dating & Video segment, we also decided to implement a management change, to further reduce costs and to increase the competitiveness through various initiatives. This being said, I'm delighted to have Matthew Gain on board as our new CEO since the beginning of this month. As the former CEO Europe of Audible, Matthew has extensive experience in digital business to consumer products and subscription models, which is essential for the business of ParshipMeet. In 2025, we aim to stabilize our revenue base with new product features, price segmentation models in the Dating business. We are also planning new subscription offerings in the Video business. While these efforts are designed to further scale our business, at the same time we are determined to operate on a sustainable cost base for the long run. Continued cost discipline, a harmonized organizational setup with centralized services will provide further efficiencies. Please note that the gross saving amounts mentioned on this slide are based on the expected reductions relative to the otherwise assumed cost base in 2025, taking inflationary developments into account. On the other hand, the actual cost reduction compared to full year 2024 is expected to be in the mid-double digit million range. As I will outline on the financial outlook page, the targeted savings play an important role in maintaining the group's profitability while further increasing our program costs. These costs and efficiency measures will also come along with one-off restructuring expenses, which we also expect to be in the mid-double digit million Euro range and which will materialize in the remainder of the year. Let's now have a look at the outlook for 2025. In terms of group revenues, we expect an increase to around 4 billion Euros compared to the financial year 2024 with a plus minus of 150 million Euros. This corresponds to an increase by 2% at the midpoint of our financial target range which takes into account revenue growth in the Entertainment segment and the Commerce & Ventures segment, but also a decline in the Dating & Video division. With regards to adjusted EBITDA, we expect an amount of around 550 million Euros with a plus minus of 50 million Euros and hence an amount almost on prior year's level. Please note that our adjusted EBITDA outlook reflects on the one hand side an assumed Entertainment advertising DACH revenues increase of 2%, an increase of programming costs in the mid-double digit million range, but also savings on a comparable level resulting from the already described efficiency measures. We also expect the Commerce & Ventures and Dating & Video division combined to contribute positively to the adjusted EBITDA development. As a result, we also expect adjusted operating free cash flow and adjusted net income to be at or close to their respective prior year's levels. While we will continue to work on a further reduction of net financial debt, we currently expect the year-end financial leverage to be again in the range of 2.5 to 3 times. This reflects on the one hand the about stable adjusted EBITDA development, but also limited potential to reduce financial debt due to the one-off cash expenses for our campus, the restructuring measures as well as payments for Honors program contracts. Please also note that this financial leverage target range does not yet take into account any larger portfolio changes. Ladies and gentlemen, to sum up, we are continuing to focus on our Entertainment business and we are consistently implementing our strategy and this is clearly paying off. We are establishing Joyn as the leading Superstreamer that is free for everyone in the German speaking region. We focus on continuing our growth with Joyn and we are investing heavily in programming and new technology. I'm sure that with our chosen course we will successfully expand our position in the DACH entertainment market. Thank you for your attention and we are now looking forward to answering your questions.
Operator:
Dirk Voigtländer: Okay, thank you operator. Since there are no questions today, we would like to finish this call now. As always, we would invite you to get back to us in the IR team. We are of course available for any follow up questions you might have. So thanks everyone and have a nice day. Bye-bye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.